Operator: Good day. Thank you for standing by. Welcome to Nanophase Technologies Corporation Third Quarter 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] Today's call is being recorded. The words believes, expects, anticipates, plans, forecasts and similar expressions are intended to identify forward-looking statements. Statements contained in this news release that are not historical facts or forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs and a number of important factors that could cause actual results for future periods to differ materially from those expressed in the news release. These important factors include, without limitation, a decision of the customer to cancel purchase order or supply agreement, demand for and acceptance of the company's personal care ingredients, advanced materials and formulated products, changes in development and distribution relationships, the impact of competitive products and technologies, possible disruption in commercial activities occasioned by public health issues, terrorist activity and armed conflict, and other risks indicated in the company's filings with the Securities and Exchange Commission. Nanophase undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I will now hand the conference over to your speaker Mr. Jess Jankowski, President and CEO. Please go ahead, sir.
Jess Jankowski: Thank you, Livia. Good afternoon to all of those listening live, we appreciate your flexibility on today’s timing. Also, thank you to those following up later online. Kevin Cureton, our Chief Operating Officer, is joining me again today on the call. We have some brief prepared comments, then we’ll be available for some Q&A afterwards. Dare I say our progress has been scary-good so far in 2024? I had to say that. Looking at our quarterly financial results, and talking in approximate numbers, at almost $17 million in total revenue and over $3 million in net income for Q3 of 2024, we continue to set new milestones. Year-over-year, our bottom line went from an 18% loss in Q3 of 2023, to net income of 18%, or $3.1 million in third quarter 2024, that’s a $4.5 million swing. Looking at our nine-month financial results, again talking in approximate numbers, we are at a record pace, which is not an approximation, with a total of $40 million in revenue, our nine-month numbers have exceeded the prior year’s nine-month numbers by more than $10 million, or 36%. We have set a new revenue record for each quarter in 2024 and we expect to do it again in Q4. Just through 9/30 of 2024, we’ve exceeded total, full year, 2023 revenue by $2.5 million, or 7%, and we have a quarter to go. At $13.4 million in gross profit, or 34% of sales, we exceeded nine-month 2023 gross profit by $6 million, and our gross profit percentage was up 9 points, almost 40%, over that of the same period in 2023. We also booked $4.8 million in net income for the nine months of 2024, versus a $2.3 million loss for the same period in 2023, more than a $7 million improvement. Looking forward, in the Solésence era, our Q4 revenue has typically been lower, as a percentage of total revenue, than Q2 and Q3. There are too many variables for us to give a clear indication of full-year results at this point, but we do expect 2024 revenue to exceed $50 million, and, with upside, we may well finish in the mid-to-upper $50 million range. We are looking at solid customer demand into 2025, and, while expecting a typical dip in Q4 results, we see more growth coming as we continue to improve operational efficiencies. Our top focus is preparing to deliver additional volume in 2025, and to increase profitability on every unit we ship. Now I’d like to introduce Kevin Cureton, our Chief Operating Officer, to share his thoughts on our progress in 2024 and our forward outlook. Kevin?
Kevin Cureton: Thanks, Jess. As always, I would like to thank our team for continuing to demonstrate why we are considered the platinum standard in the industry, our brand partners for their continued commitment to collaborative growth, our supplier partners for keeping their promises to us, and of course our investors for their patience and faith in our organization. Q3 represents a milestone moment for our organization. Jess has already highlighted some of those key financial successes so I will spend a brief bit of time on operational milestones that were also achieved. I’m sure it’s no surprise that our company in two of the three months of Q3 achieved record throughput levels. The improvement in throughput was largely driven by our adoption of OEE metrics that helped us focus our company on areas that would yield the biggest immediate improvement in performance, in Q3 that focus was on increasing up time. With the improvement in uptime, with the improvement of uptime we also saw an improvement in labor efficiency as compared to prior quarters. While there is still far to go, with the key additions in our production management and maintenance teams and the realization of the benefits from our automation investments, we expect to consistently improve our performance in these areas. Our other key metrics were also strong. We continued to have excellent inventory availability, allowing us for the first time this year to also achieve a significant improvement in on time in full performance, where over 90% of all planned shipments were completed within the quarter. As we noted at the beginning of this year, we believe that we can simultaneously achieve continued growth at a multiple of the industry's growth rate while improving profitability. When combining these operational improvements with improvements in materials cost, it's clear that our company is now solidly positioned to continue to accomplish that objective. We plan to continue to grind hard at proving this quarter after quarter and are in fact we are focused on having our EBITDA performance rival some of the best-in-class companies in the market regardless of industry. In closing, I’d like to mention two additional items, our book of business and our people. It’s great to be able confidently state that we have a strong book of business similar in scope to what we had when we closed Q2. We are poised for excellent top line growth in Q4 of this year versus the same period in 2023 and are already having volumes in 2025 that will look to be record levels. Turning to our teams, as I noted last quarter, this success is underpinned by the fabulous teams we have throughout the company. We know that while our world-class technology and know is how what got this journey started, it’s our people that ultimately make the difference and will be the reason that we continue to outperform our market in terms of growth and profitability. We continue to raise our expectations and are excited about what the future holds. Back to you Jess.
Jess Jankowski: Thanks, Kevin. To expand on the book-of-business point, for purposes of comparison, our shipped and open orders at 9/30 of this year are at $34 million that's about 80% higher than the same number for 2023. We expect more than a third of that in Q4. This is how we’ll deliver record Q4 revenue this year, followed by record Q1 revenue expected in 2025. In terms of our commercial model, a good way to summarize our business is that, with our active pharmaceutical ingredients, or APIs, we are offering the market a way to achieve UVA, UVB, and other environmental protection, in what we believe is the safest manner possible. While this was always a priority in our business, the advent of Solésence has helped us to bring our finished mineral-based solutions to entirely new markets. Not only will we enhance your life by helping to protect your skin with minerals, in the way most dermatologists believe is safest and most effective, but we’ll also help you to look great while doing it. As you can see we continue to see consumers of prestige cosmetics demand more of our market partners’ Solésence-enabled products. These are large and deep markets for us. We expect the growth to continue. Consumers realize that safe skin protection is a critical part of overall health, as is feeling good about the way you look. That’s what we’re all about. While we know that most of our investors listen to the webcast, or review the transcript, after this call, we’re happy to invite those of you participating live on today’s call to ask any questions you may have or share a comment or two. Afterward, I’ll offer a few closing comments. Livia, would you please begin the Q&A session?
Q - John Henderson: Hi, guys. Congratulations, wow. We've been – I think I can speak for everyone we've been waiting years for this incredible inflection point. Congratulations comes immediately to mind and well done.
Jess Jankowski: Thank you.
John Henderson: So just one or two quick comments regarding the expectations for next year. So you guys already have booked significant orders for 2025 and relative to last year, up 80%. Like when do the majority of the orders really kind of J curve for you guys each year? Is it during the spring and summer, obviously, with the seasonal aspect? Or is this going to be a business where the seasonality just gets less and less because the brands are just selling so well or potentially even around the world?
Kevin Cureton: Thanks for the question. And yes, I would say, first of our business, as Jess alluded to, is really nonseasonal at least in terms of the use of the product, a lot of the products that we sell, in fact, the majority of the products that we sell are really skin care or color cosmetics with SPF, not just SPF. And so that gives it a lot less seasonality. There are, however, times when retailers really still like to bring these types of products into there – in the brick-and-mortar environment. And those tend to be in late first quarter, early second quarter. So new launches, so to speak, typically happen there. And so you usually have a little bit of a surge there. Usually, we anticipate that and it hasn't been true in the last few years, in part because of some of our operational difficulties. But you'd expect sort of the first quarter to early second quarter to be the big lift. And then if you've got good market success, third quarter is really usually a strong quarter because that's sort of your reorder time. With our business because we're growing a lot, we still see a lot of Q4 orders. Although, as Jess mentioned, those haven't been as big as say some of our launch period though. Again, that's changing as well as we also see some, for lack of a better way of putting globalization where we have EU, where our U.S. customers are shipping ex-U.S., outside of the U.S. for the products that we make for them. So a lot of information there, but that's usually the timeframes that we would see and the rhythm that we would see in our business.
John Henderson: And guys, I mean, honestly, I most fell off my chair when I saw $0.04 in earnings. I mean I don't think we'd see that till like low 20s. So that is just so impressive. And obviously, with all the shares that have been issued, but I think to kind of actually hear that you guys are confident you can continue to improve efficiencies. So – is it too crazy to start talking about potential 40% gross margins, Kevin and Jess? I know you don't want to stick your neck out, but I mean the momentum you have on operationally, I mean, how consistent can it be and like is 40%, at least for a couple of quarters next year viable?
Jess Jankowski: I think it's possible. Ultimately, the way we're growing and the ups and downs are what drives some of that. If you do $12 million at $1 million a month, and it's relatively flat production, it's a lot easier to benefit from all the gains you make that would be a small number for us at this point, but in terms of just the regularity of production. So our first goal internally has been to try to keep production as close to flat as we can and still satisfy our customers. So if we have a dip, a low revenue month maybe we're still producing at the same rate so that we're as efficient as possible. And that's where the hedging incomes on what our margins can or can't be. We actually had a higher gross margin in Q3 of last year based on a combination of product mix and when – where the production was relative to the shipment. So I definitely think it's possible. I think it's likely that we have months in there that are 40% or above. And the question about stringing them together in a quarter and then multiple quarters really has a lot to do with the trajectory of the business. If it's a steady – if it happened to be a steady growing year where every month, we just do a little bit more and a little bit more and it goes. It's very possible. If it's up and down, it gets harder, but I don't think it's unrealistic to look at today's margins and say that they're achievable into the future like notwithstanding quarterly dips and that we do expect to be improving on them.
John Henderson: Final question, I'll get to the queue. You guys – are you in place already to get to $100 million in capacity? Or do you need to add more lines and you're going to be doing that over the course of 2025 to get to, hopefully, those levels maybe as early as 2026?
Jess Jankowski: We're in place to do that now. We are adding more capacity to be in place to do more than that, a multiple of that potentially. And it's – whether we do it, when we do it, it has to do more with the growth of the business, the marketing and the customer uptake, but we're capable of doing it now. And I think what we'll see over time is that we'll have more – will have redundancies that roll back and forth between types of production because all of these folks – all these customers want different packaging we refer to these things as components, whether it's in a bottle or a tottle or a tube or a jar. And what we don't have is universal excess capacity in each type of component, and that has a lot to do with not knowing yet where that demand is going to be. So I think we're always going to have a higher capacity number than we're delivering because of that. And that's something to try to manage over time and understand – the better we understand it, the better we'll do at it. But we definitely have that capacity now.
John Henderson: Great job guys. I am going to cede the floor. Thanks.
Jess Jankowski: Thank you.
Kevin Cureton: Thank you.
Operator: Thank you. Our next question coming from the line of Jim Liberman with American Trust Investment Services. Your line is open.
Jim Liberman: Thank you. These are great numbers. Congratulations all around. I know it's been quite a struggle getting there as one might expect the business, it's uneven and a little bit lumpy, but it sounds like it's gaining momentum and getting a little bit of stream of business, which is easier to plan around. Again, congratulations. Do you think – not knowing fully how you play out on how you structure your products, can you provide your product to a broader – even a broader range of end users? I can see where it adapts really well to the high-end quality skin care business, but could you also provide more to the everyday over-the-counter, people who want to come in for a light cream with a sunscreen at a lower cost?
Jess Jankowski: I'll let Kevin start on that one.
Kevin Cureton: Thanks, JJ. Jim, thanks for the comments. I will say that our business, even being very careful because, as you know, there's only so many things we can say about the brands we support. But our brands range not just with the prestige brands, which typically sell north of $30 a unit. But now our brand partners are really some of the leading companies that are in that masstige space, which is more in that $15 to $20 per unit, so that is a higher volume market space for us in terms of unit volume. We definitely – and I'm sure Jess would want to comment here as well. But we definitely do want to be selective so that we are really focused on delivering high-quality growth meaning that the margin on every unit, as Jess mentioned earlier, is better and better as we continue to grow. So that's why we do – we are a bit selective and while we like a lot of top line growth. We definitely want to emphasize bottom line growth over top line growth as we go forward.
Jess Jankowski: Jim, I would say that Kevin has got it exactly right. And we – the more efficient we get the better it will be for us to cast a slightly wider net, and we're seeing a lot of – we have more opportunities than we currently deliver on partly because we want to remain as profitable as we can, and it's always that balance because at some point, we want to be a $500 million company, and you've got to pick and choose your customers, but you also need to have a bigger tent to have those volumes. So I think through next year into the following our strategy is going to unfold some more. We're going to get some more feedback internally from how good we can get at this and what it will be to get to the next step. And I think that's going to be a critical inflection point. I think we're also happy about these results thus far because the inflection point of sustainability, decent margins and some profit has been something that's been elusive to us. But really, the next one will be, okay, you can make a really nice margin on relatively modest revenue, which isn't modest in the world, we came from, but it's becoming modest based on what we know we can do and where we go with that.
Jim Liberman: I think that's a great picture in terms of thought of the company as structured toward a $100 million company, but you're actually providing a vision where you might see something significantly higher down the road. That's really creative and exciting. I have one more follow-on question. So do you have a certain amount of tax loss carry forwards that you can sort of play these nice profits against or how does that play out?
Jess Jankowski: We are in the process of looking at that both on the state and the federal side. We have a large NOL. A good portion of that is available based on the way the rules are and when we went public and all those things, we will be able to take advantage of some of those. We also have been taking advantage at a smaller level in some of the R&D tax credits that are available. So I think that will help over time. The State of Illinois is a little different because they have – they've put some of these – they've suspended the use of some of the NOLs so that you can use them but not right now. That's partly – and they're also extending the life of them because that's partly related to the current state of the state, but we will see some benefits from that over the coming years, and we do expect to mitigate some of our tax liabilities using that large NOL.
Jim Liberman: Got it. Thank you again for this wonderful picture and vignette and congratulations. This is exciting news. Thank you.
Jess Jankowski: Thank you.
Kevin Cureton: Thank you.
Operator: Thank you. [Operator Instructions] Now our next question coming from the line of Tony Rubin [ph]. Your line is open.
Unidentified Analyst: Hi, good afternoon gentlemen and thank you for the nice treat as it were.
Jess Jankowski: Thanks, Tony.
Unidentified Analyst: So yes, and as everyone has said, congratulations. It's nice to see what you guys have talked about for a while come together. So just to follow-up to something that I probably asked last quarter, and that is – do you have a sense as to full year 2025 growth and how that might even look going beyond that? I know in this call, I think for the first time, Jess shared a vision of going far beyond $100 million in sales. So – and indicated you have the equipment to go beyond there even today and more on the way. So what just generally speaking, what are you guys thinking in terms of revenues for 2025 and beyond in percentage growth or net dollars, however you…
Jess Jankowski: I have a deer in the headlights look right now for those not watching the video that doesn't exist. Yes. I don't think – I think over a period of time that the curve is going to flatten and we won't grow as quickly. I mean we had – for three years there, we tripled, tripled and tripled then it slowed down a bit. We had a nice uptick this year. I certainly think we're going to have growth. It will be in the double-digit range for next year. I don't think it will be a double or anything like that. But I do think part of it, Kevin and I were just discussing this, we get a much better look at what's going to happen at the end of the year and the next year when we get into like mid- to later summer. So it really is difficult to say because you've got a couple of things, the question that John had asked about cyclicality really speaks to the way that launches go and reorders, and it's all one of those things. If you deliver the orders on time, which we are getting much better at, then the reorders come sooner, which allows you to grow and grow, and we haven't had a full year yet of knowing that we delivered everything on time. And that all made it to the consumer on time and their feedback on what they wanted more of comes back in, in the same fiscal period. So next year should be a better year a stronger year. I don't know if our results will be Q3 times 4, which would be a really nice year in a lot of respects, but they very well may be on the revenue side, we'll just have to take it quarter-by-quarter. And I think when we get into Q1 in our announcement, which is typically in February, March, we should have a better idea of where 2025 can take us. And by the time we're getting into certainly Q3, potentially even in our Q2 discussion, we may have some indications about 2026.
Unidentified Analyst: Okay. No, I appreciate that. But it sounds like all systems are a go, and you should continue to accelerate. And then the other question I have is kind of a follow-up from previous quarters. And there's been a repeated request by long-term holders and properly any holders to have the company consider an uplisting. Now that you've – you're making good progress on the operational heavy lifting and I'm sure there's a lot of sausage-making in the background that is heavy, heavy lifting. Is there any comment with respect to a potential uplisting?
Jess Jankowski: Sure. I think it's something we are talking about it. And we've mentioned before part of it is putting together a series – successive series of strong quarters, which we're on the way to doing. At the Board level, we discuss it. It's been a regular item we've discussed. And I think strategically, we continue to address it without – there are certain things I can't really share, but going down that path. Long-term, I'd say mid-term, we certainly want to grant – get more liquidity for all of you looking at the stock and the way it moves and the thinly traded nature of it that's a direct feature to a certain extent of the exchanges we're on, and we recognize that. So it is a fairly ready frequent discussion internally. And I think we'll be continuing to pursue that. And as we get into 2025 and we lay another couple of quarters down, we'll definitely have more to talk about in that regard.
Unidentified Analyst: All right, well, again, congratulations and thank you and keep up the good work.
Jess Jankowski: Thank you.
Kevin Cureton: Thanks, Tony.
Operator: Thank you. [Operator Instructions] And I see we do have a follow-up question from John Henderson with Inflections Consulting. Your line is open.
John Henderson: I just want to kind of reiterate that I definitely feel as though like you guys with what you're doing waiting as long as we have had to get it to this point, it's just such an amazing quarter. And as long as you guys are consistent in terms of building the profitability, this is the type of disruptive technology that it's going to get at 8x, 10x price of sales on the NASDAQ. And it's a $10 stock at $100 million run rate and then some. So definitely, really looking forward to next year, but we're really just going to keep giving you a nudge every quarter. So hopefully, the board hears that, too. And congrats, it's amazing. I mean you can begin to sketch out like how this becomes a much bigger company in three to four years. And so yes, thanks for all your efforts.
Jess Jankowski: Thank you.
Kevin Cureton: Thanks, John.
Jess Jankowski: Appreciate it John.
Operator: Thank you. And our next question coming from the line of Wayne Ron [ph]. Your line is open.
Unidentified Analyst: Hi, Jess. Can you hear me?
Jess Jankowski: Hi, Wayne. I sure can. How are you?
Unidentified Analyst: Well, I'm fine. I'm pretty optimistic with the company and then Tony Rusa [ph] said that they'd be better next year. So now we got to win 42 games.
Jess Jankowski: Don't pick on my white son.
Unidentified Analyst: Anyhow, thank you for your – you got grit, Jess, you stayed right with the company, and I want to personally thank you for not running off. Thank you so much. Will the upcoming year from the production side get a little better than it was this year? Do you still want to do? And when you deliver on time, does that make for additional orders? And thank you again, Jess, you really made my day yesterday.
Jess Jankowski: Well, thank you, Wayne, and that's important to all of us here. I think we have recognized that we have some long suffering shareholders. We're happy to have good news and hopefully continued good news. Trying to take those in order or remember the issues, we are continuing to expand our manufacturing capacity. And our goal is to get up into the $200 million-plus range. While we're doing that, we have added some more staff, both as Kevin mentioned, in the – not just in supply chain but also on the supervisory floor and with we say maintenance, they're really kind of maintenance engineers in terms of getting the equipment running, getting it up running faster and more efficiently. And we've got a series of people that have almost identical experience on the – from the mechanical side of manufacturing in the business now that we really didn't have a year or two ago. So I think we're all expecting increased throughput and increased operational efficiency going into next year that's going to really get better as the growth happens. So those things, I think, are I think those things, I'd like to say they're a foregoing conclusion, but they're certainly in our planning, a foregoing conclusion that we're going to see more throughput, better profitability higher abilities to put volume through. And your other question, that's something that we refer to them as reorders frequently. So you have a launch and the launch date, if we get the launch on time, launch date usually happens so that there can be reorders in that same year. And that's something that we can't quantify what we've missed in the past, but we have missed those in the past by being late or not or incomplete on the degree we could deliver. And I think that's something that is going to bear some fruit for the business in almost every respect in a positive way in 2025, and we've seen some of it in 2024. So that's an exciting feature to look forward to. And that's also the happier your customers are, the more they're willing to push your products and these products, while they are technically, we believe, superior to what's out there we are selling through market partners that have other things to sell as well. And so if you fall short when you're supposed to deliver, they'll fill the hole somewhere. Shelf space is hard to get. So we are expecting really good things out of our added capabilities in this kind of quarter and this kind of success and being able to build a little cash and have some flexibility is going to have a multiplicative effect on the business.
Unidentified Analyst: Thank you again, Jess.
Kevin Cureton: Thank you. Appreciate your question.
Jess Jankowski: Thank you.
Operator: Thank you. [Operator Instructions] The next question from John Henderson [Inflections Consulting]. Your line is open.
John Henderson: Guys, I promise this is it. I got to go hit my daughter's Halloween party.
Kevin Cureton: All right.
John Henderson: So, literally waiting years for this. So final question, two questions. Share count was around 71. I mean, is there still another tranche of the preferred not converted yet to common?
Jess Jankowski: No, no, that's all.
John Henderson: All in right now 71. Okay.
Jess Jankowski: Yes, we're all in, everything is converted.
John Henderson: Great. And obviously, China potential tariffs, we have to ask you guys looked ahead just in case there's – do you think you're affected? And have you planned for that scenario, so we don't need to have something hit us out of the blue next year?
Kevin Cureton: Yes. I think the key issue there is how much of our supply, John, is really from China specifically. There are sources that are important sources to us in China, but they are not our only source. It's been one of the points this year with. We've said in prior calls that we've got our best operations team ever, and that includes our procurement team. And one of the things that they've been working hard on is diversifying our sources relative to key raw materials. So in pretty much every situation that we have a source that from China, we have an alternative source that is not produced in China. So we do already have that built into our plan, not specifically because of the tariffs, but because we need to have that diversity of supply because things happen relative to people's ability to ship and produce and capacity and everything else.
John Henderson: Got it. Thanks so much, guys. Again congratulations.
Kevin Cureton: All right, thank you, John.
Operator: Thank you. I'm showing no further questions in the queue at this time. I will now turn the call back over to Mr. Jess Jankowski for any closing remarks.
Jess Jankowski: Thank you, Livia. And thanks to all of our investors and stakeholders for playing such a critical part in helping us to become a sustainable business as we develop critical mass. We couldn't do it without your financial investment or your emotional investment. I also need to amplify what Kevin has said, our team makes this company, and we're grateful for all of their efforts, their willingness to work hard and take risks and their daily investment in bringing an aggressive strategy to fruition. By continuing to raise our expectations by doggedly pursuing our Solésence driven growth strategy and gritting it all out, we're becoming the exciting company we'd all hope for. This is just the beginning. Our future is bright. I hope everyone has a good rest of your day, maybe helping the kids in your life to find the neighbor that gives out the full-size candy bars or better yet, being the neighbor that gives out the full size candy bars and finish things today with a smile. Thanks, folks.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and you may now disconnect.